Operator: Thank you for joining us for Navios Maritime Partners' Fourth Quarter 2015 Earnings Conference Call. With us today from the Company are Chairman and CEO, Ms. Angeliki Frangou, Chief Financial Officer, Mr. Efstratios Desypris and Executive Vice President of Business Development, Mr. George Achniotis. As a reminder, this conference call is also being webcast. To access the webcast, please go to the Investor section of Navios Maritime Partners' website at www.navios-mlp.com. You'll see the webcasting link in the middle of the page and a copy of the presentation referenced in today's earnings conference call will also be there. This conference call could contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 about Navios Partners. Forward-looking statements are statements that are not historical fact. Such forward-looking statements are based upon the current beliefs and expectations of Navios Partners' management and are subject to numerous material risks and uncertainties which could cause actual results to differ materially from the forward-looking statements. Such risks are more fully discussed in Navios Partners' filings with the Securities & Exchange Commission, including the Company's most recent 20-F. The information discussed on this call should be understood in light of such risk. Navios Partners does not assume any obligation to update the information contained in this conference call. The agenda for today's call is as follows: First, Ms. Frangou will offer opening remarks, next Mr. Desypris will give his overview of Navios Partners' financial results. Finally, Mr. Achniotis will provide an operational update and an industry overview. Lastly, we'll open the call to take your questions. Please note we plan to complete this call prior to the market opening at 09:30 Eastern. Now, I'll turn the call over to Navios Partners' Chairman and CEO, Ms. Angeliki Frangou. Angeliki?
Angeliki Frangou: Thank you, Laura and good morning to all of you joining us on today's call. For 2015, we reported $153 million of EBITDA and earned $41.8 million of net income. Our net income per unit for the year was a strong $0.48. While Navios Partners is healthy, we announced the necessary, but painful decision to eliminate distributions given our high cost of capital, the inability to know when markets will repair [ph] and the opportunities to acquire assets at attractive prices. We did not take this decision lightly. Navios Holdings, our sponsor, will forego [indiscernible] distributions for its investment in Navios Partners. I am and other members of our management team are investors in NMM as well. Nevertheless, we believe that by eliminating distributions when Navios Partners does not have access to equity markets to grow even in the best long-term interests of our unitholders. While unitholders will forego near-term cash flows, we believe that we can create meaningful distributable cash flow in the future whether through capital gains or a healthy charter market. Slide four outlines material developments since the third quarter of 2015. The markets that we participate in continue to deteriorate. Their lower MVP [ph] index has declined by 17% since the third quarter of 2015 and 50% over the last 18 months. In addition, running MLP trading at [indiscernible] significant relief to their lending index [ph] and regionally no MLP has access to the equity of their capital markets to fund growth CapEx. As of yesterday, Navios Partners was yielding over 78% almost more than four times [indiscernible] index yield of 9.7%. As units [indiscernible] has declined by 59% since September 30, 2015. While the MLP market decline is generally associated with the price decline in the energy market the dry sector weakness emanates from different uncertainties. China's economy has underperformed more than the GDP and industrial production rates and there is a slowing global trade with prices continuing to decline for most seaborne commodities and continued uncertainty relating to the outlook of seaborne volumes and ton miles reflecting the state of affairs in Baltic Dry Index declined by almost 65% since the third quarter of 2015 and is currently trading at a record low, which I might add is at 40% lower than the third [ph] year low established in February of 2015. Slide five and six demonstrate that despite the weakness surrounding the company in the MLP and the dry sectors, NMM is strong. We believe that the strength can be the basis of repositioning the company as a unique platform for growth in this stressed environment. Our strength is our [indiscernible] asset. The rating agencies have expressed their views by rating NMM at BB from S&P and Ba3 from Moody's relatively stronger ratings industry and sector. Our traded ratios are healthy with net debt-to-book capitalization of 42.4%. And interest coverage of 5.5 times and our enterprise is valued relatively inexpensively as NMM trade with a [indiscernible] ratio of about 4.7 times in [indiscernible] to EBITDA of about 5 times. In addition to enhanced [ph] credit metrics we have not only growth CapEx required and our debt maturities are manageable with a term loan we mature in more than two years from now. We also have a balloon payment that is due in November of 2017 which we believe should be duly financed given the existing LPV [ph]. As one might expect, given the different market financing is unavailable and many of our public peers are facing liquidity and solvency issues in the current stressed markets where assets [indiscernible] are depressed and capital is unavailable banks are looking for reliable transaction partners and vessel owners are seeking liquidity from the second hand vessel market. We also plan to be able to generate significant free cash flow. The table on slide six shows for the potential cash generation for 2016. As you can see even in their record low charter rate environment of today we should be able to generate about $80 million assuring steady operating cost in today's export market rates for our open days. Eliminating distributions will reduce our annual cash requirements by $72 million and allows to [indiscernible] grow cash creatively, whether in the filtering [ph] program or otherwise. Through this effort unitholders should be able to participate in future capital gains when asset values recover. In summary, by conserving cash NMM can capitalize on market relocations and become a unique platform in the dry industry positioned to acquire assets and create capital gains. Slide seven shows our liquidity. As of December 31, 2015 we had total cash of $34.5 million and total debt of $598.1 million. We have a low net debt to book capitalization ratio of 42.4% and no significant debt maturities until 2018. And at this point I would like to turn the call over to Mr. Efstratios Desypris, Navios Partners' CFO, who will take you through the results for the fourth quarter of 2015. Efstratios?
Efstratios Desypris: Thank you, Angeliki and good morning, all. I will briefly review our unaudited financial results for the fourth quarter and year ended December 31, 2015. The financial information is included in the press release and is summarized in the slide presentation on the company's website. Moving to the financial results, as shown on slide eight, revenue for Q4, 2015 decreased by 10.2% to $53.3 million compared to $59.4 million for Q4 of 2014. The decrease was mainly due to the 11% decrease in the time charter equivalent in Q4 to $18,223 per day compared to $20,388 for Q4 of last year. EBITDA for the fourth quarter of 2015 decreased by 9% to $35.7 million primarily because of the decrease in the revenue discussed above as well as a $1 million increase in management fees due to our larger fleet. This was mitigated by the decrease in time charter and voyage expenses by $2.4 million due to the delivery of two charter vessels. Net income for the fourth quarter of 2015 decreased by $5.7 million when compared with the same period last year. Operating surplus for the fourth quarter of 2015 amounted to $25.2 million. Based on our price distribution our common unit coverage for the quarter would have been 1.4 times. Replacement and maintenance CapEx reserve was $3.6 million. Fleet utilization for the fourth quarter of 2015 was almost 100%. Moving to the 12-month operations, time charter and voyage revenue decreased by 1.6% and amounted to $223.7 million. Revenue has been negatively affected by the approximately $5.6 million effect of drydocks performed in advance in the second and third quarter of the year. EBITDA net income for 2014 has been positively affected by the $47.6 million income from insurance settlement. Furthermore, net income for 2014 has been negatively affected by a $22 million loss from a non-cash write-off of an intangible asset. Adjusted EBITDA for 2015 increased by $0.9 million to $153.3 million. Adjusted net income decreased by 15.2% to $41.8 million. Operating surplus for the year ended December 31, 2015 was $112.7 million. Turning to slide nine, I will briefly discuss some key balance sheet data as of December 31, 2015. Cash and cash equivalents was $34.5 million. We also maintained a $60 million liquidity line from our sponsor. We do not have any [indiscernible] requirements for committed growth CapEx. Our long-term debt, including the current portion, increased by $22.1 million. This increase is due to the $79.8 million debt incurred for the acquisition of the MSC Cristina earlier this year and was mitigated by the $57.7 million debt repayments made during 2015. Net debt to book capitalization was 42.4% at the end of the quarter. Slide 10 shows the details of our fleet. We have a large, modern, diverse fleet with a total capacity of 3.3 million dead-weight tons. Our fleet is young with an average age of 8.6 years, below the respective industry averages. Our fleet consists of 31 vessels, eight Capesizes, 12 Panamaxes, three Ultra-Handymax and eight container vessels. Slide 11 demonstrates our strong relationship with key participants in our industry. Our charters have an average remaining contract duration of 3.2 years. About 86% of our contracted revenue is from charters longer than three years. Our charters are spread among a diverse group of counterparties. In slide 12 you can see the list of our fleet with the contracted rates and the respective expiration dates per vessel. Currently, we have fixed almost 80% of our available days for 2016 and we are 57% fixed for 2017. We do not have charter rate exposure to the container sector, as our vessels are fixed for an average remaining period of approximately seven years. The expiration dates are staggered and the charter durations extend to 2027. As shown in slide 13, we are an efficient, low-cost operator. We are benefiting from the economies of scale of our sponsor and we have renewed the fixed operational costs for 3% increase over two years until December 31, 2017. Our renewable [ph] OpEx is almost 17% below the industry average. I will now pass the call to George Achniotis, our Executive Vice President of Business Development, to discuss the industry section. George?
George Achniotis: Thank you, Efstratios and good morning. Please turn to slide 15 and the drybulk market fundamentals. Growth in world [indiscernible] are equal in size with growing raw material demand for steel and energy production, particularly as American markets have bias in industrialize. According to the IMS the rate of world GDP growth declined from 8.4% in 2014 to 3.1% in 2015. GDP growth is expected to increase to 3.4% in 2016 and 3.6% in 2017. Emerging and developing markets are expected to grow by 4.3% in 2016 and 4.7% in 2017. Turning to slide 16, low cost Australian and Brazilian iron ore continues to displace more expensive lower quality domestic Chinese ore. In 2015 Chinese domestic iron ore production declined by over 8%. Steel production was slightly negative, but seaborne iron ore imports increased by almost 3%. However, a lot of tonnage was extravagant or shortfall transpacific routes reducing ton miles. Steel production in China continues at high levels as Chinese steel exports reached new highs. The Australians continue to take advantage of the favorable geographic position and low cost of production and increased exports in 2015. Forecast indicates that seaborne iron ore will remain flat in 2016, but Australia and Brazil will gain market share at the expense of producers from Africa and Latin America further reducing ton miles. Moving to slide 17, coal is still the least expensive fuel for producing electricity particularly important to the emerging market regions. The coal market in China is the largest in the world consuming about 4 billion tons annually. With the collapse of commodity prices worldwide, we have seen the Chinese authorities protect their domestic coal mining causing a significant reduction in coal imports of about 80 million tons. While Libya looked as though it would make up for China's decline in coal imports at the beginning of 2015, record production by Coal India their chief domestic supplier will be reduced their need for more coal imports. As a result, India is expected to only increase import by 5% in 2015. The net reduction of Chinese and India and imports of seaborne coal in 2015 is estimated at 14%. Over 2016 the forecast as our coal shipments will marginally grow lead by Southeast Asian countries where new efficient coal-fired electricity generators are being built. Please turn now to slide 18. The dry bulk market has continued to underperform every single time BDI lows in the last few weeks. In 2015 42% of the expected new vessels did not deliver accelerating the part of non-delivery seen over the last several years. Preliminary data points to over 60% non-delivery in January driven by the exciting low market. At the same time scraping volumes for all – less fuel efficient vessels have dramatically increased. In 2015 over 30 million dead-weight ton was scrapped compared to 16 million in 2014. This includes 95 Capesize vessels compared to 24 Capes in 2014. High scrapping is continuing this year, as 5 million dead-weight tons of scrap through the first four weeks compared to 2.9 million over the same period in 2015. If the current rate continues for the remainder of 2016, a record high, both in terms of dead-weight and percentage of the fleet could be reached. Net fleet growth for 2016 is projected to be flat to negative given historic non-deliveries in current rates of scrapping, covered with all time low market levels. This could be the first year of negative fleet growth since 1999, when the fleet contracted by 0.3%. Moving to slide 19, over the past 19 years container freight has expanded at the 7.2% CAGR. As the rate of world GDP growth declined between 2014 and 2015 there was also a reduction in the rate of container growth to 2.5% in 2015, the lowest increase since 2009. However, it is expected to increase to by 4.2% in 2016. As demand growth is projected to be more than net fleet growth, charter rates should improve during the year. NMM's container vessels are fixed on long term charters, so they were not affected by this sluggishness in 2015. Turning to slide 20, at the beginning of 2016 the container fleet consisted of 5225 vessels of almost 20 million TEU capacity. Vessels carrying 1.7 million TEU have delivered during 2015 vessels are projection of vessels carrying $1.9 million, giving a non-delivered at a rate of 12%. Scrapping during 2015 decreased over previous years as the rates improved in the second quarter. 90 vessels with a capacity of a 193,000 TEU were demolished in 2015 compared to 171 vessels with a capacity of 384,000 TEU in 2014. Going forward in the current marketing environment we expect scrapping of all the vessels to accelerate. Last year, TEU capacity increased by 8.1% driven primarily by deliveries of larger 8000 TEU and above container ships. Estimates are the TEU growth will be about 4% in 2016 about the same as 4.2% estimated increase in container demand. This concludes my presentation. I would now like to turn the call over to Angeliki for your final comments. Angeliki?
Angeliki Frangou: Thank you, George. This completes our formal presentation. We will open the call to questions.
Operator: [Operator Instructions].Your first question comes from the line of Noah Parquette of JP Morgan.
Noah Parquette: Hey, thanks for taking my questions. I guess the first one was the dividend cut on the cash flow savings that you have, can you talk a little about what your preliminary plans to use that is? I mean you have obviously the debt refinance in 2018, but can you talk about your comfort level on refinancing a portion of that and maybe what you should think your fire power is and whether you are going to be looking at the dry bulk or container side? Thanks.
Angeliki Frangou: Thank you, good morning Noah. The one thing that you have to see that, the deteriorate market from November, let's not forget that July last year we were about 1200 BDI, November we were 6300. So – period is different environment and what used to be a supply issue today you are seeing as a global growth issue. We are 50% lower than the year low on the BDI. So one of the things we see that Navios Partners is a strong company. You have – if you see a size our cash flow generation can be $80 million even spot market, meaning open day dry bulk, you fix them on the spot yesterday’s market and you still generate $80 million. So our decision today is that we see that with this kind of a cash flow generation environment we see where banks are trying to find entities where they can transact and that’s where in that zone is looking for to sell vessels in the second hand market, we think this is the right time to reinvest this money, opportunities for our shareholders on a longer term. So yes we feel the natural growth some of it is today, but you will be able to pick up these vessels in the dry bulk which is uniquely positioned and on the Container segment. But today with the credit issues around the world I wouldn’t think that it will be a cash flow generating asset. It will be mostly assets – acquire assets at unique prices that will generate capital gains.
Noah Parquette: Okay. And then just as a followup the vessels, the dry bulk vessels you have coming off charter this year obviously the spot market is terrible, you addressed that, what are your plans there? I mean, can we be expecting some of these older ships to be scrapped or just keep it short term in nature, maybe some insights there?
Angeliki Frangou: One of the things I want for you to see, that these vessels that are coming up is truly an optionality. If you use the rate of [indiscernible], we use the BDI of 8 million Panamaxes at $2260 and that means a rate that spot rate, they are generating $8 million. So and that is an optionality. If you are seeing dry bulk, okay today we are in a negative fit use where financial is [indiscernible] and back and forth, but I think they are discovering [indiscernible] this is clearly an optionality for us.
Noah Parquette: Would you consider cold layoffs and is that on the table and what do you estimate the cost of – the rates are so low that…?
Angeliki Frangou: Any of the two, I mean regarding there is not really big difference to be honest. Either you operated and go - we have incorporated the cost, so if you lay them up you will actually, it is maybe make a couple of million more. We have all options. To be honest, you have a unique situation where you can think about and even wait and see what is your best option You are not in a hurry.
Noah Parquette: Okay. That’s all, I have. Thank you.
Angeliki Frangou: Thank you.
Operator: Your next question comes from the line of Amit Mehrotra of Deutsche Bank.
Amit Mehrotra: Yes, thank you very much. I have a few quick questions with respect to I guess the $70 million plus cash that the partnership is going to save from the distribution cut elimination of the distribution, could NMM become an explicit liquidity provider to Navios Holdings either via acquisition of assets alone or maybe even preferred equity injection, could that happen?
Angeliki Frangou: I mean, I think this is not the conservation of this call. I mean, we’re seeing that for NMM it’s a very viable decision. I mean you have a danger [ph] environment that made you take the decision not to distribute but to keep this cost for finding drastic transactions and providing future deals that make sense on capital gains later on for the company. I think that is the way we view it and the board viewed that decision as we realize that on the current environment that you don’t have access on debt equity, this is valuable and can provide the usual banks or other loans.
Amit Mehrotra: Okay. May I ask just one or two more quick ones, in terms of your comment about turning NMM into a growth platform I understand that dry bulk assets are cheap by historical standards, that’s obvious, but in this environment they obviously burn cash on day one. So I'm just trying to think why it’s the right strategy to buy assets when rates are below OpEx, when liquidity is clearly an issue or is the distribution cut really more of a strategy, so that when you are discussing with lenders you can sort of show that you’ve taken difficult actions to sort of push out the enterprise to the long-term, is that how we should think about it?
Angeliki Frangou: First of all, I mean you can buy assets at attractive of course, I mean today you’re looking on BDI 40% below - low and if you don’t have – I mean if you realize that the market is not going to be or we are not going to global recession it is and the world will be tomorrow you have these assets and you can pick them up on something that is unique on prices. We do not have a liquidity issue and you can always buy vessels and even idling if you want and have the capital appreciation. This is opportunity that we may see it. You may also do a package of vessels with one such mix assets meaning it can be different types as well as rate so transactions. The reality that you have the ability to transact, the ability and willingness to transact by having this $80 million of cash generation.
Amit Mehrotra: Yes, one last quick one if I may, maybe this one is for Efstratios, but if you mark-to-market or take the current rates and extrapolate them I guess over the next 12 months and mark-to-market the 15 or so dry bulk re-chartering in 2016 or this year, what is the impact to the EBITDA following on the 4Q run rate? I mean we obviously calculate this, we think it’s $35 million in terms of annual hit to EBITDA is that in the neighborhood of sort of the hit?
Efstratios Desypris: Actually if you see Amit in the Slide 5 already calculated our revenue generation and EBITDA and cash generation of these vessels based in the current market. So we took it.
Amit Mehrotra: Sorry, I missed that, I apologize.
Efstratios Desypris: Yes, Amit you can see that, we expect to have around $9 million of free cash generation from these vessels, you know and starting today for the next 12 months from the today’s environment.
Amit Mehrotra: Okay that's great. All right guys. Thank you very much. Good luck, I appreciate it.
Angeliki Frangou: Thank you.
Operator: Your next question comes from the line of Michael Webber of Wells Fargo.
Michael Webber: Him good morning guys. How are you?
Angeliki Frangou: Hello, good morning.
Michael Webber: None of my questions have already been touched on. I didn’t want to come in and ask how you guys think about your exposure to HMM [ph] just given the February [ph] news recently in terms of, I guess you called it restructuring, but specifically looking at it [indiscernible] and augments potentially and then extend their existing potential contracts. So this as well is around how you guys would look at approaching something like that now and what conversations or contact you guys have had to date around that topic?
Angeliki Frangou: Good question. I think the one thing we follow very closely HMM, we have sent - one of our teams was down in Seoul, we are monitoring closely. What we and [indiscernible] is doing is they are not going on their formal rehabilitation and process, but what they’re doing is they’re selling assets in order to being compliant. So under that - they’re not going for formal reorganization. So up to now they have been paying us without even one day delay and it is a large organization, that if they must, and this is what you have to really do, follow that process which is I think they will mostly sale of assets.
Michael Webber: Great, yes it seems as though augmenting container ship contracts is more of an issue for your creditors to look eventually up and refine and some opposition and then extending, you wouldn’t actually it will be the worst thing in the world depending on the terms. And I know you've seen this through in order cycles in [indiscernible], but can you drive [indiscernible] to the previous cycles where we are seeing either mines or larger commodity players look to augment current contracts, how much value you extrapolate upfront and how much leverage do you have in that situation? In general it seems you have a fair amount of negotiating leverage. I know you, just any commentary around just around how we kind of think about the spectrum of how that comes here?
Angeliki Frangou: You have to see that, as they will need to remain somehow and the system flow of cargos out of Korea, I think that somehow you will be able to capture – there is a value on this contract. So, I don’t think that they can easily either them or whoever is the subsequent company that will take the – they will need to use the vessels for the cargo flow. So, that’s why we had not – I mean it is something that we monitor very closely as you said and you may have different solutions to this period. I don’t think that is something that will go to a reorganization where you lose value quickly. It is something to monitor very closely.
Michael Webber: Right, yeah it might be – it certainly seems like it is a bit early in that process and this is something that would be down the line, but just curious since its been in the news. There is one more from me and I'll turn it over. It is actually more around your debt, you know the dividend cut makes sense all things considered and it seems like you would also be relatively credit positives, I know you got your Term Loan B rolls in 2018, but can you refresh us on where you guys stand on your loan to value and if takes around the Term Loan B and how you think about you access to refine that market?
Angeliki Frangou: The Term Loan B is that we are in compliance and you know and is 80% loan to value. While our bank debt which is the remaining part is at between 70% and 74% loan to value on our bank debt. So overall the company is taking cost duration where we are in the cycle. I think you want to, one is that you have to say that you are not in liquidity, you have plenty of liquidity, you have cash flows and you have a loan to value covenant. Now, if you see where you are, I mean there is one naturally being November of 2017 of about $57 million which is debt at value of about 9 vessels and that’s easily re-financeable meaning that’s why I give you that number. And then our Term Loan B is coming at end of – at mid 2018. If you realign your cash flow generation and see that you are today at 80% loan to value you can say that you will be able easily to re-finance even with conventional bank debt.
Michael Webber: Okay, now that’s helpful. I appreciate the color. Alright guys I’ll turn it over, thanks.
Angeliki Frangou: Thank you.
Operator: Your next question comes from the line of Christian Wetherbee of Citi Research.
Unidentified Analyst: Good morning. This is Prashant in for Chris. Lot of my questions have been touched upon already, but I guess given that this, the move to preserve cash here is really a tab dry powder to acquire assets that you do see make values and it seems like there is a fair amount of comfort around the ability to refi that debt in 2018. I’m just trying to get a sense of internally how does this, how do you view the current troughs in dry bulk as to how long it continues, especially given in a high fix using 2016, 2017 of fair amount, is this something that you see as sort of continuing to trough in 2017 or do we seen an inflection as we get towards 2018 and I am thinking about this sort of in terms of cash flow generation as the debt refi comes up?
Angeliki Frangou: I think last year we were discussing more about the supply. So today you see that you have zero negative fleet go from Capes and you have actually now we think Panamaxes to be zero fleet growth negative. So in essence I think this is more of a demand issue meaning if we see market stabilizing or stop dropping which is part of a phone call for rate and all these you know you see a stabilization not meaning moving up but stabilization of commodities and in essence global trade. We have kind of scrapping that is happening I think you will have a rebalance and so you will easily see the market is coming out. Let’s not forget that for 2018 we are in dropping oil prices that have an effect on freight and the BDI as its part of the front hold. So this is stabilized somewhere where we look and I think that we will be reaching at one point that level. We will be able to see market and freight recovering.
Unidentified Analyst: Okay, thanks and just one quick follow up, although probably not a primary use of cash given the dividend cut are there any thoughts about maybe buying back a little bit of incremental equity to add value to unitholders while they wait for future cash flows from asset acquisitions?
Angeliki Frangou: Actually this is one of the considerations that I will be reviewing as an option.
Unidentified Analyst: Okay, should we expect this is something sort of could you help us prioritize where this is sort of in the list of issues after of uses of cash after asset acquisition and sort of debt considerations, what are the uses of cash?
Angeliki Frangou: I think as part of the considerations we review with the board will come with a decision and we come back with a decision.
Unidentified Analyst: All right. Thanks very much guys.
Angeliki Frangou: Thank you.
Operator: Your next question comes from the line of Shawn Collins of Bank of America.
Shawn Collins: Great, thank you. Good morning and good afternoon, Angeliki, Efstratios and Laura [ph]. I wanted to ask about the credit default insurance that Navios Partners has with Navios Holdings for $20 million which comes into effect in the case of credit default by the charter out vessels which is covered to 2016. Can you just talk about how this potentially works and if you expect to roll this over or enter into a similar type of agreement in 2017? Thank you.
Angeliki Frangou: This is not for container vessels. This is for some of the dry bulk. So I don’t think there is any additional loss, I think that [indiscernible] as it stands over the period of time I would state…
Efstratios Desypris: Yes, actually the agreement is ending December 31, 2016. However, before that happens, before the period is fully covered by this insurance with the $20 million cap.
Shawn Collins: Okay, understand. Got it, thank you. I have a question, a financial question possibly for you Efstratios. In the fourth quarter replacement CapEx was I believe $3.6 million versus a reserve in the prior year of $6.2 million. Can you just talk about why the difference and is this due to lower asset values and the lower cost to replace ships or the delta just seems a little bit large to me, so I wanted to understand that? Thank you.
Efstratios Desypris: This is a decision that we’ve taken Shawn and which is a decision that we have throughout 2015 and as we positively state this, there is a calculation that it is approved by our board and is based mainly on the replacement values of vessels. So you would expect it sort of moving along with the values of the market, the vessels in the market.
Q - Shawn Collin: Okay. Understand and then just a last question, I know you cite a balloon payment, a debt payment in 2017, I know I can find it in the 10-K, but could you just tell me how much is due in 2017?
Efstratios Desypris: Yes, the maturity for 2017 is the $58 million that Angeliki mentioned earlier which is covered by nine dry bulk vessels.
Q - Shawn Collin: Okay, $58 million, got you, okay. That’s helpful. That’s all from me. Thank you for the time and the insight.
Efstratios Desypris: Thank you.
Operator: Thank you. I’ll now return the call to Ms. Angeliki Frangou for any additional or closing remarks.
Angeliki Frangou: Thank you. This completes our Q4 results.